Operator: Hello, and welcome to the Kulicke and Soffa 2021 Fourth Fiscal Quarter Results Conference Call and Webcast.  As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Joe Elgindy, Senior Director, Investor Relations. Please go ahead, Joe.
Joe Elgindy: Thank you. Welcome, everyone, to Kulicke and Soffa's Fiscal Fourth Quarter 2021 Conference Call. Joining us on today's call is Fusen Chen, President and Chief Executive Officer; and Lester Wong, Chief Financial Officer. For those of you who have not received a copy of today's results, the release as well as our supplemental earnings presentation, are both available in the Investor Relations section of our website at investor.kns.com. In addition to historical statements, today's remarks will contain statements relating to future events and our future results. These statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Our actual results and financial condition may differ materially from what is indicated in those forward-looking statements. For a complete discussion of the risks associated with Kulicke and Soffa that could affect our future results and financial condition, please refer to our recent SEC filings, specifically the 10-K for the year ended October 3, 2020, and the 8-K filed yesterday. With that said, I would now like to turn the call over to Fusen Chen for the business overview. Please go ahead, Fusen.
Fusen Chen: Thank you, Joe. As many of you are aware, we recently provided a detailed business review and outlook during our Investor Day held on September 23. During this presentation, we highlighted how several key long-term trends such as 5G, assembly complexity, electric vehicles and advanced displays are driving structural improvement to our business, enabling greater long-term visibility and a more consistent level of sustainable cash flow generation in the future. Throughout today's discussion, I will highlight several specific milestones, which demonstrate our ongoing progress toward this fundamental enhancement. First, I would like to explain our view of the supply challenges affecting the industry today, which we have been navigating. Recently, there have been disruption to global supply chain, including power outage in China, COVID challenge in Southeast Asia and the freight challenge globally. Specifically, within our industry, additional constraints more recently related to substrate and the wafer capacity shortfall, which are constraining the rate of industry growth. We ultimately expect this near-term bottleneck will gradually improve. Specifically, we anticipate improvement in wafer starts towards the end of fiscal 2022, which is consistent with our expectation of a multiyear industry expansion period. It's also critically important to understand that this bottleneck ultimately stems from a short-term inability for industry capacity to meet end market demand as we transition into the new data era of semiconductor demand. In addition to this new layer of end market demand, favorable technology transition, which we are directly involved in, are well established and are set to accelerate over the long term. This structural dynamic include a higher level of capital intensity for the assembly process. Access to the emerging advanced LED market, 5G adoption, the electric vehicle transition and the more semiconductor reach consumer devices. This longer-term trend enhance our visibility and the growth potential. Looking ahead, this outlook is aligned with the long-term target we showed during our recent Investor Day. We continue to anticipate that fiscal 2022 will be another very strong year, and we also anticipate wafer capacity to improve at a faster rate beginning in the second half of 2022. With that said, I will now discuss our September quarter's performance. We again exceeded our revenue guidance, which anticipate a $465 million midpoint. We were able to generate just over $485 million of revenue during the September quarter, which was a significant effort for our manufacturing, supply chain and the engineering team. This effort has allowed us to temporarily stretch our capacity in support of our customers during this rapid pace of industry growth. Within the September quarter, our capital equipment revenue increased by over 16% sequentially to $431 million. This was due to ongoing strength in the general semiconductor market, improvement in memory and ongoing charting and execution of our advanced LED program. Within general semiconductor, we are pleased to report several new wins for our dedicated advanced packaging tool, specifically upon our thermal compression system, Katalyst; our high-accuracy flip chip system; and also LITEQ 500, our lithography stepper. This specific win highlights our direct connection to this evolving landscape and the growing need for more complex, higher-value semiconductor assembly processes. This win also highlights our competitiveness and the potential for share gain in several specific leading-edge assembly applications, including mobile processing, image sensing and silicon photonics. During the September quarter, we also recognized revenue of our initial LITEQ 500 laser-enabled lithography solution. This system has been well received due to its good wafer handling, performance, stability and ease of operations. The need for advanced lithography system for the end processes will accelerate with assembly complexity in the features. This system represents an additional market-ready K&S solution, which addresses the growing complexity of assembly. Fiscal 2021 revenue related to these 3 platform increased by over 200% from fiscal 2020. These systems are highly competitive, and we anticipate demand to grow at a similar rate through fiscal 2022. We remain very focused in driving new engagement and qualifications. The need for more complex assembly isn't only limited to our new equipment solution, but it's also occurring throughout the high-volume semiconductor market. To share more light on this evolving value proposition, our most advanced ball bonder platform, the RAPID series, offer key features such as real-time process monitoring, defect detection and advanced looping that enhance productivity for complex assembly. The RAPID series represent only 39% of our total ball bonder sales in the fiscal first quarter of 2021 and has grown to represent 74% of our ball bonder business during the fiscal fourth quarter of 2021. This market-leading tool are unique and that enhance corporate-level gross margin. Finally, for the general semiconductor review, we also continue to focus on new development opportunity within the electronic assembly market. As we explained during the Investor Day, the electronics assembly market represents a very sizable and largely untapped opportunity for K&S. I look forward to sharing additional detail as we prepare to bring this new solution to market over the coming quarters. Turning to LED. I'm pleased to report that we have recognized revenue of just over $80 million in advanced LED solution throughout fiscal 2021, representing nearly half of our total LED revenue. During September quarter, we recognized an additional portion of system and services revenue related to our customers' needs and ordering scheduling. This is another key milestone for the company, which serves as a testament to our leadership in most advanced, exciting and direct-emissive display technologies and highlights our execution and the progress towards the long-term financial target established during the Investor Day. Additionally, we issued a press release in September 22 that highlights our initial LUMINEX shipment and a broadening market adoption. LUMINEX is our next-generation mini and micro-LED solution, which target the emerging advanced display opportunity. LUMINEX has increased our market access as it provides additional process step, such as pitch adjust sorting and billing, but also through increasing our customer engagements. The first LUMINEX system was delivered with an initially reduced throughput in September. And by October, we provide a software update that enable 10,000 hertz through the scan function. To clarify this release, 10 solar placement per second. At this speed, LUMINEX provide unique production advantage that will help accelerate broader advanced LED adoption and our ultimate market reach. Over the coming quarters, we look forward to sharing new milestone and additional customer engagement with this high-potential system. Next, automotive and industrial demand continue to remain strong and above our long-term average. We remain very positive on long-term transition, which are increasing semiconductor content per vehicle. Over the coming years, semiconductor growth with automotive is expected to be significantly above the historical growth rate of general semiconductor. In March of 2021, we enhanced our portfolio of automotive-focused solution with our POWER-C system release. POWER-C specifically target the growing need for advanced power semiconductor assembly, a critical application required for the electric vehicle transition. During the fiscal '21, we shipped nearly 400 POWER-C system, generating over $45 million of revenue. In addition to this structural growth, driving higher semiconductor content per vehicle, we have recently expanded our market access through our new battery assembly solution. We continue to work closely with several customers who are pursuing battery assembly solution for the cylindrical market, utilizing both our ultrasonic and the laser-based battery assembly solution. We have also recently delivered our newly introduced prismatic battery assembly solution. Electric vehicle battery production is anticipated to fuel growth at a 30% CAGR through fiscal 2025, providing ongoing and long-term equipment opportunities. Lastly, within memory, revenue grew by over 90% sequentially to $36.9 million for the September quarter. This sequential growth was supported with a strong demand for our leading NAND assembly solution and the step from several memory-focused customers. Finally, before turning the discussion to Lester, I wanted to reiterate our optimism as we look beyond fiscal 2022. Over the past 4 years, we have worked closely with the customers to solve challenges within the display, automotive and the semiconductor assembly market. This close relationship with the industry leader have allowed us to take a calculated risk and pursue multiple development initiatives in parallel. Today, these past investments are beginning to generate returns. Over the last years, we have introduced and driven market adoption of several high potential systems that directly support high-growth opportunities within the automotive, semiconductor and advanced display market. These systems are at a different stage of maturity, providing ongoing opportunity to create value for investors. We have made many organization refinements, which have enhanced this value creation process. We continue to have a funnel of new opportunities that provide additional upside to our long-term target. I look forward to providing additional details on the status of our recent product release and the new development initiatives over the coming quarters. With that said, I will now turn the call to Lester Wong, who will discuss our financial performance. Lester?
Lester Wong : Thank you, Fusen. My remarks today will refer to GAAP results unless noted. As Fusen mentioned, our global operations, manufacturing and engineering teams have overcome many supply chain-related challenges this quarter. We were able to stretch our capacity during the September quarter and continue to anticipate ongoing supply chain challenges over the near term. For the fiscal year, we were very pleased to have recognized revenue of $1.52 billion, generating non-GAAP net income of $390 million and free cash flow of over $275 million. During the September quarter, we recognized revenue of $485.3 million, up nearly 15% from our most recent record revenue in the June quarter, able to meet this level by managing external supply chain challenges very closely and stretching our own capacity in support of customers' aggressive expansion plans. In addition to stretching capacity, we also recognized an additional portion of advanced displays revenue based on our customers' shipment and delivery schedules. In addition to this significant top line achievement, we're also able to deliver strong gross margins of 47.7%. This strong margin performance was due to a higher mix of advanced facility systems, which deliver a higher value proposition for our customers. This gross margin strength, combined with greater operating leverage, allow us to deliver non-GAAP operating margin of 33% in the September quarter. We continue to maintain our quarterly operating expense model, which represents roughly $48 million of fixed expenses, plus 5% to 7% of variable expenses tied to revenue. Tax expense for the quarter came in at $21.6 million, driving our effective tax rate to 13.9% in the September quarter. As expected, our full year effective tax rate came in below our long-term target largely due to the release of valuation allowances related to the successful introduction and market adoption of our PIXALUX system. Over the long term, we continue to maintain the 18% effective tax rate target. Non-GAAP net income came in at $138.3 million, representing $2.17 of non-GAAP EPS during the September quarter, which again reflects the inherent leverage in our model and long-term cash generation potential. Turning to the balance sheet. Working capital has remained very efficient. Days of accounts receivables stayed consistent at 78 days, days of inventory improved slightly from 60 to 59 days, and days of accounts payable decreased from 57 to 55 days. During the September quarter, we generated free cash flow of $118 million. Our total cash and investment balance increased by over 16% to $738.9 million. On October 18, we announced a 21% increase for our upcoming dividend, which is payable on January 10. As a reminder, we initiated the dividend program with our first payment of $0.12 per share in July 2018. We then raised the quarterly payment by 16.7% or $0.02 ahead of our January 2021 payable date and will pay $0.17 per share during January 2022. As explained during the Investor Day, the dividend allows us to provide a consistent return, which our long-term shareholders can plan for. While consistency is one of our guiding principles, we also want to keep our dividend competitive relative to our close semiconductor equipment peers. Additionally, we continue to believe our market valuation remains undervalued and have prioritized our open market repurchase program by increasing recent activity. During the September quarter, we repurchased just over 60,000 shares for $3.8 million, which represents nearly 40% of our total repurchase in fiscal 2021. As a comparison, during the first 6 weeks of fiscal 2022, we repurchased 148,000 shares for $7.9 million, which is equivalent to over 75% of our fiscal 2021 activity. We continue to have regional cash constraints in the near term, although expect by the second half of fiscal 2022, we will have better access to our global cash balance. We intend to continue tactically taking advantage of market misperceptions through the use of our open market repurchase program. For the December quarter, we expect demand to remain very strong and anticipate approximately $460 million of revenue, plus or minus $20 million. Considering our efforts to stretch capacity and deliver additional advanced display solutions during the September quarter, this December quarter outlook reflects fairly consistent linear demand for the majority of our products. This continued strength support our view of a multiyear industry expansion period and keep us well on track to reach and potentially exceed our long-term financial targets. We expect gross margins to be 47% in the December quarter, plus or minus 50 basis points, due largely to ongoing manufacturing efficiency and strength of higher-margin products. Non-GAAP operating expenses is expected to be approximately $77 million, plus or minus 2%; and non-GAAP EPS to be $1.88, plus or minus 10%. We continue to anticipate supply chain challenges to contribute to overall industry growing pains. Looking further out, increased wafer starts should ease these constraints and continue to support above average semiconductor growth through fiscal 2023. This is very aligned with our long-term target established during the Investor Day. Over the coming quarters, we are very confident in driving new market adoption and customer wins, while emerging equipment portfolio, specifically LUMINEX, our advanced display system supporting the mini and micro LED transition, and also our APAMA and Katalyst advanced packaging system, which supports high-performance computing and mobile applications. This continues to be a very exciting period in the company's long history, and we are seeing ongoing potential to dramatically and sustainably extend our business as we continue to execute on this multifaceted growth strategy. We look forward to sharing additional information regarding these new opportunities over the coming quarters. This concludes our prepared comments. Operator, please open the call for questions.
Operator:  Our first question today is coming from Craig Ellis from B. Riley Securities.
Craig Ellis: Congratulations on the very robust quarter and strong outlook. Fusen, I wanted to start just by digging into one of the disclosures in the release regarding the backlog at $787 million. What I was hoping to do is have you help us understand the composition of that backlog. One, how distant are orders in the backlog? To what extent is it giving you visibility beyond the fiscal first quarter into the second and third quarter or maybe beyond? And then with regards to the breadth of products that are in backlog, would it be similar to what we've been seeing? Or is there a significantly different composition of systems than what we recently reported in the fiscal fourth quarter?
Lester Wong : So Craig, this is Lester. Let me take that. I think the backlog is still very, very strong. As far as the composition of the backlog, I think for capital equipment, it will be similar to the fourth quarter. Obviously, the mix changes a little bit, but we still see very, very strong sales of our higher-margin RAPID products as well as LED. I think that may increase a little bit. We also see strong sales of the advanced tech -- sorry, advanced display product going forward. So I think the mix is somewhat similar. Of course, not exactly the same, but it's somewhat similar. And as far as visibility, we've actually worked to -- the lead time now is almost down to about 6 to 7 months, which is very good. It was before as close to 8 months, which is double our historical average. We've worked very hard. We increased capacity -- manufacturing capacity 2x since the beginning of fiscal '21 so in order to address our customers' demand. So I think we see FY '22 to continue to be strong. There obviously will be some fluctuation, particularly because of the industry-wide supply chain issues, particularly about wafer shortages, which a lot of people are experiencing now. We think that will be, as Fusen said in his remarks, more alleviated towards the second half of the year.
Craig Ellis: That's really helpful, Lester. And then the follow-up question is somewhat related to the color you provided. We would typically expect the business to have a seasonal profile to it in the December quarter and then in the March quarter, either flat or accelerating a little bit. But it seems like the December quarter's outlook is really bucking that given that the midpoint is only down $25 million or 5% or so sequentially. So to what extent do you think you are seeing seasonality in the business versus just seeing the continued strong demand for your products, including all the new products, really power right through that seasonality?
Fusen Chen: Actually, Craig, I think the strong September and the December quarter, we believe, was because of a long lead time and people actually book ahead, and we don't have the maximum capacity to deal with that. That's why originally, maximum target capacity is actually 450, around 450. Actually, we stretched the capacity to deliver what customers need, right? So I think at this level, we're really beyond. We probably don't expect every quarter we need to run beyond our target next month capacity. So we might see some seasonality from this point.
Craig Ellis: That's really helpful, guys. And then I'll just ask one more before hopping back in the queue. Fusen, I was interested in your comments regarding products for EV battery assembly. And I'm wondering if you can talk about the engagements that you have with potentially customers or customers' customers, whether the engagements are more with the battery makers themselves or with the OEMs or both?
Fusen Chen: Actually, we engage with both. And we believe -- Craig, if you remember, we engaged with a leader in the industry in this space very early. So recently, actually, you can see a lot of players and which actually they are very happy to find us to be their partner. So actually, we expand our portfolio, start from cylindrical and then we go to prismatic. And we also -- in order to be more competitive, actually, we segment our product to have a high end. We have a little bit low end, more cost-effective solution and particularly in China, to compete. So overall, I think this is a very sweet spot for us. And we continue to recognize as a leader in this space. And so I don't know if I answered your question.
Craig Ellis: Yes. I think you did, Fusen. I think the takeaway is you've got significant customer diversity with increased product diversity and an increased ability to hit kind of the high end of the market and the low end of the market across cylindrical and prismatic. Really helpful.
Operator: Our next question is coming from Krish Sankar from Cowen & Company.
Krish Sankar : Congrats on executing well in a tough environment. I have 3 questions, too. The first one is, is there a way to quantify how much the revenues in September and December quarter would have been if you're not supply constrained?
Fusen Chen: Well, Krish, I don't understand the question. The revenue is the product we deliver, right? So can you ask again?
Krish Sankar : Let me ask you another way. With the December quarter, what would the December quarter revenues or guidance have been if you are not supply constrained?
Lester Wong : Well, Krish, I think the December quarter revenue, the supply constraint is not as big a factor there. I think the point we're making is that we kind of stretched capacity in the September quarter to meet our customers' demand, right? So I think demand is still strong. And -- but I don't think if there was infinite supply -- sorry, capacity, it would not be $500 million or $600 million quarter, if that's what you're asking.
Krish Sankar : Got it. Got it. That's super helpful, Lester. And then second question is, I might have missed it, but Fusen, did you give an FY '22 revenue guide? Or should we assume it's going to be similar to FY '21?
Fusen Chen: Well, actually, we are quite positive on the end market demand of '22. So we are feeling right now '22, the revenue will be comparable to '21. That's what actually in Investor Day, we told all the investors. So that means we expect fairly comparable. At this moment, I think what we see is maybe slightly upside compared to '21 in our memory and also auto business. But Krish, as you know, this industry, we also have a global supply chain challenge. And something we focus on and many people focus on is a wafer shortage, are the current concern in of industry growth at this moment. But we anticipate new wafer capacity will come online in the second half, right? So it's going to be given tech along the comparable revenue over '21. But so we -- again, we are very positive about '22, and we will provide more information about '22 revenue expectation over the coming quarters as we see more clearly about how this wafer shortage goes.
Krish Sankar : Got it. Got it. Helpful, Fusen. And then final question. Obviously, very strong advanced display revenues in the September quarter. Are they all for mini LED? Or is anyone beginning to look at micro LED? And also, along the same paths of Lester, the December quarter gross margin is pretty strong, too. So should we assume that somehow, there's going to be another strong advanced display quarter?
Fusen Chen: Okay. So let me answer the first part of your question. Krish, the mini and micro LED, this is related to size, right? So a lot of people categorize mini LED as micro LED. But from my point of view, I think the size is, of course, is mini LED more at this moment. But of course, the engagement with a lot of customer at this moment, we are dealing with a very small size. But to answer your question, I think from my view, I think mini LED is a majority of the revenue at this moment.
Lester Wong : And then, Krish, for the margin, yes, we are calling very strong margins for Q1 at over 47%. And there is quite a mix of the advanced display solution in the Q1 revenue as well.
Operator: Next question is coming from David Duley from Steelhead Securities.
David Duley : Congratulations on the great execution, 33% operating profit is a great achievement. Just a couple of questions. Lester, as far as operating expenses go, do you think that the variable and fixed expenses that you just outlined are the right numbers going forward? Or should we be adjusting operating expenses given the outlook?
Lester Wong : No. I think it's still the right number. I mean at $48 million to 5% to 7% and non-GAAP for this quarter at about $77 million. I mean obviously, Dave, there's push and pulls within OpEx at any one time, right? But I think it's in the right ballpark. And I mean as we move forward some development programs and as things change, we'll update the model as wanted.
David Duley : Okay. And then my second question is, I think at your Analyst Day, you talked about a 500 basis point gross margin improvement over the next several years. And I realized there's lots of things that are behind that improvement. But if you could help us understand where you are kind of as far as if this is a 9-inning ball game, how many innings are you in to that gross margin optimization program? And I realized that it might take a couple of quarters to see the gross margin improvements because you've got to work through the inventory. So with all that in mind, could you just help us understand how far you are along in adjusting things to get to that -- to achieve that 500 basis point gross margin?
Lester Wong : Well, gross margin improvement is always a work in progress for us, and it's something we always drive towards, right, not just towards the 500 basis points, but we want to push it beyond. But to answer your question specifically, I think we're probably 1/3 to halfway through that journey. I mean I think we've worked very, very hard in terms of maximizing manufacturing efficiency through supply chain, through operations, through engineering, to redesign, to maximize costs, to reduce cost, to maximize the cost savings, right? I think the other thing that makes a big difference, and it will take some quarters to kick in, is also product mix, right? I mean as Fusen indicated earlier, we have now -- in this year, we migrated a lot of ball bonders to the more complex, higher-margin RAPID series.  In LED, we also have increased the margin because, again, we introduced a new tool. So I think the key also going forward, we'll also have more advanced display as well as advanced packaging tools, which also carry higher margins. So I think you will see margin expansion over the next couple of quarters and definitely towards the target that we set during Investor Day.
David Duley : Okay. Final question from me is, Fusen, you mentioned, I think, some customer wins in the advanced packaging area, both within the thermal compression bonder and the flip chip. Could you just elaborate a little bit more on the potential for those wins and when you would expect the revenue from those particular wins you're referring to, to start to contribute?
Fusen Chen: Yes. We established our TCB base stuff from OSAT customers. But if you look at it, at this moment, with the customer base and the customer we engage actually is really a lot. From OSAT to a CMOS imaging sensor, silicon photonics, AR/VR. So we are very encouraging. And the technology we provide to the industry is really well recognized, and we do expect the TCB will grow strongly into this year. And of course, we're almost -- we expect would double again in '23, right? So that's our TCB. We are very, very positive. And the flip chip, we actually have a lot of internal program. So flip chip, we developed a very good tool. But right now, we're already in a few customers, and this is for high-productivity, high-acuity feature. We probably just want to make more effort. But at this moment, I think it's already in many, many customers, right? So we do believe at this moment, the TCB have much more momentum, but flip chip is picking up.
Operator: Your next question is coming from Charles Shi from Needham & Company.
Charles Shi : I want to start going back to the question about fiscal '22 outlook. Obviously, investors hear things through -- from your largest OSAT customers, looks like the consensus view seems to be that OSAT spending on wire bonders may moderate a little bit next year, yet you are seeing something like a comparable outlook for next year. I wonder whether there's a little bit of a growth driver shift away from OSAT going to like IDMs next year. Is that the case? And if you can tell us a little bit more in terms of the OSAT contribution to revenue in fiscal '21 and what you expect in fiscal '22?
Fusen Chen: Okay. So Charles, I think at this moment, we do see some OSAT customers delay their delivery schedule due to wafer shortage. I mean a lot of people mentioned about it. But at the same time, I think we also see some customer pull-in because we have actually a spectrum of customers with us, not only OSAT customer, right? So this will help. So overall, we still see a very healthy move on the demand and the '22, we believe, will be another strong year for us. To answer your question, I think if we allow the wafer shortage, the demand for the broadband will be even higher. But at this moment, I think we are seeing maybe comparable business overall and compared to '21. I think your question is right on. We do see actually some scheduling delay. But luckily, we have a big spectrum of customers. When it's delayed a little bit, we also have some people who want to have an earlier schedule, right? I wish this helps.
Lester Wong : And Charles, as far as your question for FY '21, FY '21 was a very strong year for OSAT, as you know, right? And so the OSAT accounted for almost close to 90% of the shipment. But historically, OSATs accounted long term around 65%. So we think in FY '22, we don't have a forecast. So we believe, as Fusen said, right, there's a broad spectrum of customers that we now can serve if there is a slight slowdown from the OSAT.
Fusen Chen: Right. And Charles, a little bit delay from OSAT. We do believe, according to the customer, there's really a wafer shortage. Basically, I think the industry demand is really strong end market. But the wafer start increasing rate, not catch up compared to -- actually -- so we do believe this is going to -- that this pain will be eased. That's everybody's expectation.
Charles Shi : So my next question, I really want to go to the electric vehicle part of your growth driver. I believe electrification not only means battery assembly for you guys, but also power devices. You did highlight the POWER-C product adoption, the momentum and also some of the pricing strength over there. Obviously, very strong pricing performance. I wonder, going into next year, we'll -- how can we quantify that part of the growth in terms of the power devices side and the battery assembly side? Do you kind of see some of the investment potentially very strong or concentrated in China? Or this is more like that you have a more global exposure on both power device side and the battery assembly side?
Fusen Chen: Actually, I think it's almost a -- Europe was quite weak, I would say. It was a China-centric or say, maybe a year ago, but Europe really coming back. So to answer your question, I think we are working with almost all the region just on these power devices and the EV.
Charles Shi : Got it. So maybe my last question is about TCB wins. Maybe more importantly, I want to ask you about your potential opportunity at the leading logic IDM in the U.S. So obviously, they -- that particular customer of yours seems to be ready to ramp major advanced packaging potentially in Malaysia second half in 2022. I wonder whether that's a contributor to your TCB business. If it is, is this more like something you will see within fiscal 2022, which ends in September next year? Or is that more like a fiscal '23 event?
Fusen Chen: So it's difficult for us specific comment about single customers. But what I can tell you is that all the customers we engage, at this moment, I think we almost conclude a successful actually qualification. So when the ramp come, if it come, is going to benefit to us. That's all I can say. I'm sorry, we just cannot comment specific customers. But I think our engagement with all the customers has been good, qualification has been down, many of them, and we are very positive about TCB prospect.
Lester Wong : So Charles, I guess, again, we don't comment, as Fusen said, to specific customers. But we do see advanced packaging revenue, particularly through TCB coming in, in FY '22, not just in '23.
Fusen Chen: Yes. So the growth of compared to '21 to '22, TCB actually grew a lot. You mentioned, I -- you remember, I mentioned about 2x, and we also expect will double again to '23. That's our expectation. And Charles, I -- my comment is this, I think the end demand is very strong for the whole industry with a lot of our technology driver. But the new wafer capacity actually cannot catch up with the strong demand, right? So that's why we are seeing some industrial pain. But we do believe a new wafer start will come online, new capacity in the second half. So hopefully, this will help everyone in the industry. So maybe I'll say a little bit. At this moment, the new wafer start rate at this moment is about 4%. And people really expect start from the end of '22 and beyond, will be 6%. So when all this capacity come online, actually, I think the industry will become very, very busy.
Operator: Our next question is coming from Tom Diffely from D.A. Davidson.
Tom Diffely : Fusen, you talked a lot about the industry wafer supply constraints. I think that's very well understood. But are you seeing the bigger impact at the leading edge or the trailing edge? And does it impact your core ball bonder business more or advanced packaging business?
Fusen Chen: Of course, I think that impact the -- actually, the capacity added, I think, at this moment is really not very concentrated on the like 10-nanometer below, right? So -- but our ball bonder, we're also working with our customers and try to test its limit. So we are working with some customers to use their mobile devices to test beyond 10-nanometer and below, and we see a positive result, right? So at this moment, so Tom, actually, we also believe our ball bonders support really advanced packaging even at the 10-nanometer. But to answer your question, I think the capacity at this moment impact the industry, actually, I think it's not the most advanced products. It's not like a 10-nanometer, I suppose.
Tom Diffely : Yes. Okay. That's helpful. And then moving over to the display business. When you look at the success that you've had with the PIXALUX and now you have new LUMINEX coming out, how do you think the rollout of LUMINEX is going to impact the PIXALUX? or how do you see those 2 playing together over the next couple of years? Are there certain applications is what we'll take in?
Fusen Chen: Right. So let me answer this. I think at a certain point, they are complementary. At a certain point, it's also become competitive, right? So let me answer a different way. The PIXALUX, at this moment, actually serve just one application, it's a final placement, right? It's moved from one place to the other place, it's a final placement. And it's at about 50 hertz. That means it's the tool replacement of 50 die roughly per second. That's our products. The difference of LUMINEX compared to PIXALUX, actually, there are a few things different. The LUMINEX not limit just on the final placement, is also can do a lot of the LED manufacturer need in the sorting, in the PAM re-pitching. There are many, many applications. So the customer base will be wider and the speed will be also higher. So in the future, assume like a 8K TV, I think there will be potential we can use this LUMINEX to do a direct initiative in our application. One panel probably need to move about 25 million die, right? So for us, there are a few differences. One is the customer base will be much wider and also the application, the process served, LUMINEX will be much, much wider. So LUMINEX start to go to customer side. So we do expect probably, we should receive revenue, early revenue by end of fiscal quarter. Let me assume summertime, hopefully, we start to see initial revenue and finish qualification and position for the mass production when the customer see our result, right? So this year, to answer your question, the expectation we have on LUMINEX in the later part of the year, we start to see revenue. And once it's qualified, it can start to ramp. So majority of the revenue, we still see in '22 is at PIXALUX. But beyond '23, I think LUMINEX will ramp very faster.
Tom Diffely : Okay. That makes sense. And then finally, Lester, you mentioned that there's a little bit of constraints on the cash from their location right now. You said that might ease in a few quarters. What are you doing to bring the cash back to the U.S.?
Lester Wong : Well, Tom, it's -- if I explain the whole thing, it will take probably an hour. It's very complex and obviously tax. But we're trying to bring it back to using the most tax-efficient way so that there's no leakage. But we expect to be able to access it by the second half of next year -- or this year.
Tom Diffely : So I guess just the bottom line on that, how -- what do you think the cost will be to you to bring that back or to repatriate it?
Lester Wong : It should not be significant.
Operator: Your next question today is coming from Christian Schwab from Craig-Hallum.
Christian Schwab: Great quarter and great outlook, guys. I guess most of my questions have been answered, but just one last one. Fusen, as we look at the tight supply environment, wafer is opening up, as you said, maybe in the second half of calendar '22, which will then drive increased demand for our advanced packaging solutions because there's more demand there as we try to get to a supply-and-demand equilibrium, if you will. So would you agree that this cycle appears different than others for you, in particular, will be stronger for much longer as the wafers come online next year that probably takes us well into '23 for advanced packaging strength to continue, at which point the mini and micro LED adoption will be much more crystal clear? We're kind of probably on our path to the LUMINEX adoption maybe kicking in. And then we'll probably be much more well on our way to tremendous growth in silicon photonics and carbide market as everyone is racing to make electric vehicles faster than the next guy who makes cars. So would you agree with that? And is that why you're increasing the dividend and buying back stock up at these levels when we were buying back stock, not all that long ago, materially lower? Am I thinking about that correct?
Fusen Chen: Well, actually, we are quite positive about company's prospect. We are no longer a single-product company. And '21 actually is very strong. Part of the reason is also because of people working from home, and therefore, we have a lot of booking. Actually, at this moment, the end market demand is so strong. But the wafer capacity just cannot catch up with strong end demand. But once the wafer starts, I mentioned just before to Charles' questions, the wafer start, actually, the annual growth rate is expected to be 6% rather than 4%, right? So this means a lot of end demand is going to be there. And this end demand, of course, will help our core products in the ball bonder, in wedge bonder. And I think the company is well positioned in advanced. We will do well in a flip chip. We will do well in the TCB. And I think the advanced display offer us another area that we can grow wafers. The compound annual growth rate of mini and micro LED, actually, you can trigger a lot of market information. A lot of people say 50%, a lot of people say 40%, but it's going to grow very, very fast. And we believe the value in this industry is not mini and micro LED itself. It's really a mass production, mass transfer, transfer a lot of die from one place to the other place. We do believe PIXALUX, we demonstrate leadership and the LUMINEX, we are confident we are going to again will be a leader in the industry.
Operator: Our next question today is coming from Dylan Patel from SemiAnalysis.
Dylan Patel: Can you help me wrap my head around the thermal compression bonding opportunity? At Investor Day, you disclosed some information about the advantages of the fluxless TCB and even had someone from an IDM talk about advanced packaging. Could you --
Fusen Chen: Okay. So -- yes, go ahead.
Dylan Patel: I understand you can't discuss customers, but what is the potential of this technology?
Fusen Chen: Okay. Actually, I think industry, the future of packaging in a big way, people are talking about heterogeneous integration, right? So to support the industry, high-density, fine pitch, heterogeneous integration, actually, we have a 2 program, we look at it. So one program actually is a lot of people talking about hybrid bonding. So in our opinion, this is a very fine pitch application. This is a very niche, very complicated and very costly, right? So internally, other than hybrid bonding, we actually look at a project we call fluxless TCB, we believe. So the difference of these 2 programs is how to clean the interface. And we actually believe the flux TCB process cover a lot of product is needed for the heterogeneous integration. And we start to work with a few customers. Feedback is very, very good and the customer interest actually is growing, right? So we do believe we expect this fluxless bonding will cover many x in terms of revenue potential compared to hybrid bonding. Hybrid bonding is very, very niche, probably particularly more concentrate probably in less than 10 micron copper pillar pitch. But beyond that, from 50 to 10, still a lot of the market is a big die application. So we started to engage with customers. Initial feedback has been good. I think we probably can give you more update in the next couple of quarters.
Dylan Patel: Can you reclarify that? You believe that TCB will be a larger market than hybrid bonding as a whole in the industry?
Fusen Chen: Okay. I think the difference of these 2 is we haven't demonstrated the fluxless TCB below 10 micron. So one of the worry for the fluxless TCB is potentially for the fine pitch, you might damage the oxide during a TCB. But we will demonstrate for larger pitch, it's still fine pitch, but not necessarily 10 micron. And actually, it's worked quite well. So if the industry doesn't need to use hybrid bonding and which is a very, very complicated process, I think we believe we have a market-ready solution. The size actually can be bigger than -- of course, will be bigger, much bigger than the 10 micron fine pitch. That's our opinion, right? It's just my opinion at this moment. And since we have quite a good momentum in TCB, we engaged with many customers. So we start to work with the customer on this fluxless TCB bonding. I think initial feedback has been good.
Dylan Patel: And with this form of advanced packaging, at least hybrid bonding is on a front-end basis, right, yet it's the foundries, it's the IDMs that are doing it. Is that going to continue to hold true? Or do you think the OSATs will also be customers for this technology?
Fusen Chen: It's going to -- in my opinion, it's going to be quite difficult, right? It's a lot of fine process, and it's back end actually cost is very important. So in my opinion, I think heterogeneous integration to deal with the fine pitch. Fine pitch depends on how you define fine pitch, can be 10 micron or between, say, 40 to 10 micron. And I think -- maybe I don't comment about the hybrid bonding. But I do believe this fluxless bonding is going to offer a very big market just for us.
Operator: We reached the end of our question-and-answer session. I'd like to turn the floor back over to Joe for any further or closing comments.
Joe Elgindy: Thank you, Kevin. Thank you all for joining today's call. We'll also be presenting at the CEO Summit in person in San Francisco on December 8; D.A. Davidson Virtual Semicap, Laser and Optical Conference on December 15; and also the 24th Annual Needham Conference during the week of January 10. As always, please feel free to follow up directly with any additional questions. Have a great day, everyone.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.